Operator: Good day, and thank you for standing by. Welcome to the Pactiv Evergreen Fourth Quarter and Full Year 2023 Earnings Call. At this time, all participants are in a listen only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Curt Worthington, Vice-President, Strategy Investor Relations. Please go ahead.
Curt Worthington: Thank you, operator, and good morning, everyone. Welcome to our fourth quarter and full year 2023 earnings call. With me on the call today, we have Michael King, President and CEO, and Jon Baksht, CFO. Please visit the events section of our Investor Relations website at www.pactivevergreen.com and access our supplemental earnings presentation. Managements remarks today should be heard in tandem with reviewing this presentation. Before we begin, our formal remarks, I want to remind everyone that our discussions today will include forward looking statements, including those regarding our guidance for 2024. These forward-looking statements are not guarantees of future performance and actual results could differ materially from those contemplated by our forward-looking statements. Therefore, you should not put undue reliance on those statements. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our recent SEC filings including our annual report on Form 10-K for the year ended December 31, 2023 for a more formal detailed discussion of these remarks. The forward-looking statements we make on this call are based on information available to us as of today's date, and we disclaim any obligation to update any forward-looking statements, except as required by law. Lastly, during today's call, we will discuss certain GAAP and non-GAAP financial measures, which we believe can be useful in evaluating our performance. Our non-GAAP measures should not be considered in isolation or as a substitute for results prepared in accordance with GAAP and reconciliations to the most directly comparable GAAP measures are available in our earnings release and in the appendix to today's presentation. Unless otherwise stated, all figures discussed during today's call are for continuing operations only. With that, let me turn the call over to Pactiv Evergreen’s President and CEO, Michael King. Mike?
Michael King: Thanks, Curt. Good morning, everyone, and thanks for joining us today. I'll start with an overview of our key messages on slide four. 2023 was a pivotal year as we continue to reshape the company. First, we set records for our primary financial metrics, including adjusted EBITDA, adjusted EBITDA margin, and free cash flow. Full-year adjusted EBITDA increased 70% to $840 million, marking the third consecutive year of growth. Our adjusted EBITDA margin of 15.2% improved 260 basis points compared to the last year. We also generated almost $250 million in free cash flow, up 60% year-over-year. Second, we made significant progress on our transformational journey by launching new initiatives to drive operational excellence, improving our overall productivity, and achieving a number of important milestones in our beverage merchandising restructure. Third, we achieved one of our top priorities by reducing our net leverage ratio to 4.1 times at year end with live site to reach the high threes in 2024. Our performance underscores the resilience of our business, our ability to meet the evolving needs of our customers, and the significant operational improvements we've implemented since 2021. I also want to recognize these accomplishments would not have been possible without the tremendous effort of all of our employees. Our underlying value proposition remains the same. We continue to leverage our broad range of product offerings, channel coverage, and distribution network to generate improved margins and free cash flow. We remain focused on our strategy of value over volume, and we continue to make progress emphasizing the higher margin products, focusing on operational excellence, and improving our balance sheet. We're confident that concentrating on these strategic priorities will allow us to enhance shareholder value. Turning to the rest of the agenda on slide five, I'll start with an overview of our performance and discuss the progress we made against our strategic priorities during the fourth quarter and the full year for 2023. Jon will then provide updates on our key financial metrics and discuss our outlook for 2024. At the end of the call, we'll open it up for Q&A. Turning to slide seven, one of the themes we emphasized over the past year is that our company is in the midst of a transformational journey that touches all aspects of our business. This slide includes an overview on the progress we've made during the past year and highlights the path that lies ahead for Pactiv Evergreen as we strive to unlock further value for our stakeholders. First, we announced the combination of our food merchandising and beverage merchandising businesses into one segment and completed the closure of our camp mill and converting facility in Olmstead Falls. These decisions were a major step forward in becoming a pure play converting operation and support our broader efforts to reduce ongoing capital intensity and fixed costs, as well as reduce the volatility associated with our earnings and free cash flow. Beyond the restructuring, we have concentrated on fundamental changes in our approach to the marketplace. This past year, you've heard us talk about our approach to value over volume, but it goes beyond simply driving price. It really comes down to being deliberate about how we position our portfolio to create the most value for our customers and our stakeholders. Over the last two years, we've completed extensive analysis across the organization with the goal of identifying how we deliver value to our customers and where we could potentially optimize profits. Through this effort, we've allocated resources to our longstanding customer relationships and partnered with category leaders to grow relative to the market. Our customers also look to us to innovate and develop the highest quality sustainable products to help them achieve their own sustainability goals. An important goal in our transformational journey is not just to develop sustainable solutions for our customers that help them meet their goals, but to develop our own solutions that help reduce the mark we leave on the world. Our goal is packaging a better future starts at our operations level, which at Pactiv Evergreen we continuously evaluate for improvement. Early on in our journey we recognized the need to drive operational excellence. This realization quickly led to us identifying several opportunities that would improve productivity, quality and reliability while at the same time taking costs out of the system. This was a top-down company-wide effort that ultimately led to the implementation of our PEPS or Pactiv Evergreen production system with the goal of driving improved operational performance across the entire organization. As a reminder, PEPS isn't just a production system, it's a holistic management philosophy that touches all aspects of our operations. 2023 was the first year of our PEPS rollout and we set a goal for eight facilities to achieve ground [ph] status by the end of the year. I'm pleased to share that 15 facilities achieved brand status during 2023, almost doubling our initial target. Today, in 2024, two additional facilities have already achieved bronze status and we recognize our first silver facility in early February. We expect to have 100% of our locations reach bronze status by the end of next year with an additional two to four locations achieving silver status in 2024 and our first gold facility by 2025. We've seen the velocity pick up across the company as more facilities become PEP certified, they're able to share their lessons learned with other locations which helps the remaining facilities get up the curve that much faster. I want to take this opportunity to recognize and applaud our team for their discipline. However, there is more to do as we continue our transformational journey and position our company for long-term sustainable growth. Looking ahead to the rest of 2024 and beyond, we intend to build on these accomplishments to conclude the strategic alternative review of our Pine Bluff paper mill, continue to roll out of PEPS, drive operational excellence and generate solid free cash flow. Achieving these important milestones in 2023 has allowed us to pivot to the next phase of the transformational journey through a targeted optimization of our operating footprint. Over the next two years, we intend to rationalize a portion of our physical footprint and shift existing production and warehousing within our network to better match our capacity with the industry demand. We estimate this will yield approximately $35 million in annual run rate cost savings by 2026. We expect these cost improvements will help position the company to continue to meet the unique needs of our customers and compete and win in the markets we serve. We also firmly believe these actions will enhance the long-term margin profile of our business and contribute to improve overall plant utilization and network productivity. Before I turn the call over to Jon, I want to touch on what we are observing across our end markets as well as how we continue to win with our key customers. Turn to slide eight. While overall inflation is moderated in recent months, food prices are still elevated compared to historical levels, particularly in restaurants where many prices continue to outstrip inflation. Consumers have responded by trading down and shifting their food budgets towards lower cost options like quick serve restaurants instead of dine-in restaurants or by opting not to dine out if they were filling their pantries. Within the grocery store, consumers have reduced purchases of more discretionary items like baked goods. This dynamic has persisted for the past several quarters and we believe the consumer has become more stretched in recent months, which may impact industry demand through 2024. It's also important to note that weather conditions can impact volumes and consumer demand. While this wasn't a headwind during the fourth quarter of 2023, we saw the severe winter weather in January of 2024 reduce restaurant foot traffic and temporarily restrict our customers' supply chains. This has an unfavorable effect on our volumes during January. We expect the impact of the severe weather will be isolated to our first quarter results. Driving profitable growth and generating consistent returns for our shareholders are top priorities. Like everyone, we have experienced inflation-driven headwinds. However, we believe the underlying business remains resilient. We continue to invest in our customers and strategically allocate resources to those that are well-positioned and taking share in the marketplace. On that front, we've seen limited promotional activity by some of our customers. Although we haven't seen large-scale promotional activity yet, to the extent that overall customer promotional activity picks up, we believe it would be a net positive for the sector as well as for Pactiv Evergreen. As mentioned in prior calls, we've mostly worked through our customer destocking, and we're confident that that dynamic will have a minimal impact in 2024. From a raw material standpoint, the trend in 2023 was towards lower cost when compared to 2022 as broader inflationary pressures ease. We've seen that trend flow through the overall price levels, which are generally lower than last year due to our contractual pass-throughs. Additionally, we've made a concerted effort to reduce the lag with our contractual pass-through mechanisms. So we don't expect that recent commodity price volatility to have a material impact on results in the near future. Separately, we've seen some of our customers attempt to offset consumer price sensitivity by reducing their input costs, including packages. And we expect that trend to continue through 2024. At the same time, we continue to identify opportunities to leverage our value over volume strategy, which was evident in our food and beverage merchandising segment during the fourth quarter. Overall, we remain uniquely positioned to capitalize on favorable long-term fundamentals across our end markets. These core strengths underpin the base of our transformation, and they're designed to propel profitable growth into the years to come. With that, I would now like to turn the call over to Jon. Jon?
Jonathan Baksht: Thanks, Mike. I'll start with our fourth quarter highlights on slide 10. Before I cover the results in detail, I'll provide some context for the financial performance. Recall in our fourth quarter of 2022, our end markets were still experiencing inventory destocking, and we were still contending with historically high inflation levels across our cost structure. Both of those dynamics have moderated over the course of 2023. As a result, our Q4 2023 performance reflects the impact from lower raw material costs, as well as underlying demand, that has modestly improved, but is still weaker than historical levels. We reported net revenues of $1.3 billion for the quarter, which represents a decrease of just over $200 million compared to last year. Similar to our third quarter results, the majority of decline was due to the beverage merchandising restructuring plan and the impact of the Canton Mill closure last May. Excluding those items, our revenue is down just over $70 million, largely due to a lower raw material cost environment versus the prior year, unfavorable mix, as well as strategic value over volume decisions. Overall volumes were down 3% in the quarter. Food service volumes increased year-over-year, while food and beverage merchandising volumes decreased mainly due to strategic value over volume decisions as we continued to optimize the portfolio. Price mix was down 4%, which is mostly a function of lower contractual pass-throughs, driven by lower raw material costs compared to the prior year period. We continue to strategically align ourselves with our core customers, and we are positioning the business to grow with their success. The price mix trends over the course of 2023 reflects those efforts. Adjusted EBITDA was $207 million, which is a 24% increase compared to the prior year and slightly ahead of our guidance range. We benefited from lower raw material costs, net of cost pass-through, and lower transportation costs. Our adjusted EBITDA margin surpassed 16% for the second consecutive quarter, coming in at 16.2%, which is our second highest quarterly adjusted EBITDA margin since our IPO, and almost 500 basis points better than last year. The margin performance is particularly impressive, considering our fourth quarter is typically a seasonally low quarter. Our fourth quarter free cash flow was negative due to timing of CapEx and cash interest payments. Our full year CapEx of $285 million was slightly above our previous guidance of $280 million. As a result, our full year free cash flow came in at $249 million, slightly below our guidance of $250 million plus. We continue to focus on deleveraging our balance sheet by reducing total debt by $25 million during the quarter and achieving a net leverage ratio of 4.1 times at year end. For the full year, we reduced our total debt by $550 million and brought our net leverage ratio down by half turn compared to the beginning of the year. From a quarter-over-quarter perspective, net revenue and adjusted EBITDA reflected our typical seasonal patterns as the fourth quarter and first quarter tend to have lower volumes than second and third quarters. The 8% decline in revenue was mostly due to a sequential decrease in volumes and partially due to lower contractual pass-through pricing. Adjusted EBITDA was 9% lower than third quarter, mostly due to lower seasonal volumes. Free cash flow was lower on a sequential basis due to the timing of our CapEx and interest payments, as well as a slight seasonal inventory bill during the fourth quarter. And finally, we are extremely proud of our full year results for 2023. The 11% decline in net revenue was mostly due to the Canton Mill closure and the divestiture of our beverage merchandising agent business in the third quarter of 2022. Excluding those items, net revenue is down 4%, mostly due to inflation-driven impacts on consumer spending and our value over volume strategy. However, we leveraged our focus on operational excellence to deliver 7% adjusted EBITDA growth compared to 2022, which we achieved an EBITDA margin of 15.2% for the full year, which was a 260-basis point improvement over the prior year. Please turn to slide 11. Similar to the third quarter, our food service segment posted another strong quarter, highlighted by a return to positive year-over-year volumes of 3%, despite ongoing weakness in restaurant foot traffic and overall food service industry volumes. We continue to align ourselves with our core strategic customers that benefit from our unique value proposition and are in turn winning in their end markets. This allowed us to once again outpace our primary food service end markets. Price mix was down 4%, mostly due to lower contractual factors, which were a function of lower raw material costs environment compared to last year. Adjusted EBITDA rose 32% compared to last year, and adjusted EBITDA margins improved by over 440 basis points as we successfully absorbed lower raw material costs, made a cost pass-through, increased sales volume, and benefited from lower transportation costs. Overall, it was a strong quarter that really showcased our ability to strategically grow volumes, manage costs, and deliver solid profitability. On a quarter-over-quarter basis, our results were impacted primarily by lower volumes, including seasonal factors. Restaurant foot traffic is still down compared to last year, although warmer temperatures across the U.S. in December did provide a slight offset. Net revenues were down 7%, mostly due to the seasonal volume dynamics. Adjusted EBITDA declined 4%, driven by lower sales and higher manufacturing costs, partially offset by lower raw material costs, made a cost pass-through. Turning to slide 12, food and beverage merchandising experienced a continuation of the themes from the third quarter, as food and beverage prices are still elevated compared to historical levels, despite the recent moderation in consumer prices. The end result is that consumers are curbing their spending and weighing their budgets toward staples like protein and eggs. We also continue to see consumers opting for lower-priced dairy beverages that utilize different packaging formats. In addition, our agricultural channel benefited from easier costs caused by weaker market conditions in the fourth quarter of 2022. This partially offset the residual impact of severe weather during the first half of 2023, which ultimately delayed the fruit harvest and reduced overall fresh fruit quality, causing an unfavorable impact on our third quarter results. From a year-over-year standpoint, volumes are down 22%, which is mostly due to the impact of the Canton Mill closure in May 2023. Excluding the Canton impact, volumes are down 7%, mostly due to strategic value-over-volume decisions to focus on our core customers that value our unique service offering. Underlying demand was down in the lower single digits, mirroring the broader market impact from higher food prices. Adjusted EBITDA was up 4%, as lower raw material costs met a cost factor, and lower transportation costs more than offset lower volumes, the closure of the Canton Mill and higher manufacturing costs. We're also working closely with our customers to manage production costs and inventory levels to match our volumes, which has helped our profitability. On a sequential basis, revenue is down 8%. Volumes were lower by 7%, mainly due to value-over-volume decisions, and to a lesser extent, seasonal decline in categories like protein, where the holiday season leads to large format products like turkeys or roasts that use different types of packaging. Price mix was down 1%, mostly due to contractual passages. Adjusted EBITDA declined 13% compared to the prior quarter due to lower sale volume and higher manufacturing costs, partially offset by lower material costs, net of costs pass-through. Turning to slide 13, our transformational journey has been evident in all aspects of our financial results over the past three years. In 2021, our full year of adjusted EBITDA has grown 58%, from $531 million to $840 million. Over that same time period, our built-in approach to pricing and our cost discipline has also helped us improve our margins from high single digits to the mid-teens and we intend to continue that trajectory into the upper teens over time. The improved profitability also translated into dramatically higher free cash flow. It's important to note that we generated almost $250 million of free cash flow this past year, despite incurring $107 million of cash outflows for restructuring charges. Again, that strongly reflects our company's inherent cash generating ability. Finally, we capitalized on our improved profitability and free cash flow to make progress in strengthening our balance sheet in 2023. During the fourth quarter, we reduced our total debt by $25 million, bringing our total debt reductions to $664 million over the last two years. As a result, we closed 2023 with a net leverage ratio of 4.1 times and achieved our previously stated goal to reach the low 4s by year end. I'd like to reflect on that accomplishment for just a moment. But this was one of our top priorities in 2023. We began the year with a net leverage ratio of 4.6 times. And through a combination of solid free cash flow and adjusted EBITDA growth, we reduced our net leverage ratio by half a turn in 2023, and established excellent momentum to continue delevering our balance sheet into the high threes in 2024. That brings us to the next phase of our transformation. You may recall that our third quarter earnings, we indicated that the next leg of that journey would include incremental cost structure optimization and right size. We expect today's announcement of our footprint optimization will allow us to reduce our annual operating costs by approximately $35 million while improving utilization levels across our operations. The initiative will require incremental investments in the near term, which we alluded to last quarter when we discussed the next stage of our transformation. This next phase positions us to be more adaptable and enhances our ability to serve our customer base more effectively and operate more efficiently. We expect this effort to impact approximately 10% of our total footprint. This is important. We have demonstrated our willingness to optimize our portfolio by continuously evaluating non-core businesses to help us focus on our core markets and maintain a disciplined capital allocation process. As we consider additional cost reduction initiatives, our ability to consistently generate strong cash flow enables us to reinvest in our business for growth. Our capital allocation framework is designed to put our company in the best position to invest in profitable growth, and we expect our ongoing transformational journey to help us achieve that objective. Now turning to slide 14, we introduced our 2024 outlook for the first quarter and the full year. 2023 was a solid year with several important milestones and accomplishments. It also allowed us to build strong operating momentum that we expect to carry into 2024. At the same time, despite the recent moderating of inflation, the outlook for the U.S. economy remains uncertain, as overall prices remain at historic levels. This may weigh on consumer spending as well as our customers' purchasing decisions and the order patterns in the near term. Starting with adjusted EBITDA, we expect to deliver between $160 million and $170 million for the first quarter and between $850 million and $870 million for the full year. As Mike mentioned, while food prices have moderated, we are seeing the cumulative impact of persistent inflation on consumer demand in early 2024. We also have the impact of severe weather in January, which will flow through our first quarter results. We plan to continue our strategy of aligning with category leaders to drive volumes. We expect to realize benefits from continuous improvement initiatives and are identifying cost improvement opportunities through our supply chain, which we expect to recognize in the second half of the year in order to help us achieve our full year adjusted EBITDA guidance. Moving to CapEx, we expect to incur $300 million in 2024. As part of our transformational journey, we continue to take actions to reduce the capital intensity and earnings volatility of our business and ultimately improve our free cash flow profile into the future. This year, we are taking definitive steps, making the necessary investments to achieve those goals. While this forecast puts our CapEx slightly higher on a year-over-year basis, a portion of the uplift can be attributed to the footprint optimization we alluded to earlier. Between 2024 and 2025, we expect the footprint optimization to result in $40 million to $45 million in CapEx, with around $15 million to $20 million occurring in 2024. Additionally, we expect to incur total cash restructuring charges of $50 million to $65 million and total non-cash restructuring charges of $20 million to $40 million, primarily during 2024 and 2025. I'll also point out that these ranges do not include the benefit of any cash proceeds from the possible sale of any property and equipment from the facilities impacted by the footprint optimization. Our CapEx guidance also includes approximately $35 million of capital spending on our Pine Bluff mill. While our view of strategic alternatives to the mill continues, we remain committed to investing in the future success of our business. Excluding both the impact of our footprint optimization initiatives and the Pine Bluff spend, our 2024 CapEx is expected to be approximately $250 million. As it relates to expected charges for our beverage merchandising restructuring, we reiterate our previous guidance and expect to incur total non-cash charges in the range of $325 million to $330 million and cash-based charges in the range of $150 million to $160 million, the majority of which were incurred during 2023. We have included reconciliation in the appendix to today's presentation. We expect to generate at least $200 million of free cash flow in 2024, which reflects higher cash taxes and a reduced working capital benefit compared to 2023, partially offset by reduced interest expense and restructuring charges. Finally, consistent with our previous guidance, we expect to bring our net leverage ratio into the high 3s by year-end 2024. Although based on our first quarter EBITDA guidance relative to first quarter 2023, we do expect our net leverage ratio to temporarily increase during the first half of the year before declining into year-end. With that, I'll turn the call back over to Mike.
Michael King: Thanks, Jon. Before we open the line to Q&A, I want to provide an update on sustainability here at Pactiv Evergreen. Part of our focus on profitable growth is to build a more resilient, sustainable, and ethical Pactiv Evergreen. One that benefits all stakeholders, from employees and customers to shareholders and to our communities. This is what drives our environmental, social, and governance initiatives, which are aligned with our packaging a better future purpose. The fourth quarter marked the release of our latest ESG report, showcasing the progress we made in 2021 and 2022. In line with our commitment to transparency, our ESG report is based on the GRI and SASB frameworks. We received limited assurance on scope 1 and 2 location-based emissions and energy consumption and energy intensity for scope one and two location-based emissions. It also details our alignment with the UN sustainable development goals. We're incredibly proud of our team's achievements on this ESG journey, and the report dives into the details. For example, between 2015 and 2022, we reduced our scope 1 and 2 emissions by 21%, which we believe demonstrates that our commitment to environmental action is yielding results. We have over 100 sustainability champions to our facilities, who are driving sustainable practices across our company. And we're innovating to develop more sustainable options, helping our customers achieve their sustainability goals offering over 40 new certified compostable products launched in 2022. Internally, we're also investing in our people and communities. Our new leadership development programs are empowering future leaders, while supplier audits ensure ethical practices throughout our supply chain. Every day we strive to integrate sustainability in everything we do, from our products to our manufacturing and supply chains. We invite shareholders to explore our full report, found at investors.pactiveevergreen.com in the ESG reporting section. I’m particularly proud of our team for their focused execution through 2023. We've made significant progress in our transformational journey during 2023. We took major steps towards becoming a peer-play converting operation with a capital-led business model. We took decisive actions to optimize our portfolio, eliminate waste, increase our focus on operational excellence. Those actions have positioned us for the next phase of our journey. We are proud of the progress demonstrated by our 2023 results and remain very excited about the future of Pactiv Evergreen. That concludes our prepared remarks. With that, let's open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Arun Viswanathan with RBC Capital Markets. Your line is open. Arun, your line is open. You can ask your question.
Arun Viswanathan: Sorry about that. Yes, congrats on the progress. So just wanted to get an idea of the outlook here. So when you think about the $20 million or so of EBITDA growth from 2023 to the midpoint of the 2024 range, is there a way you could maybe bucket that out into volume and price cost and restructuring gains? Or how should we think about how that evolves? And also maybe if you could touch on those items for Q1, that would be great. Thanks.
Jonathan Baksht: Yes. Arun, so broadly speaking, I think it's the games are broad-based. I think as you try to bridge from 2024 -- 2023, excuse me, to 2024, just give you some high-level thematics to help paint the narrative here. Really, if you look at how we're starting the year and some of the guidance around Q1, we have been impacted by inflation here starting the year. We've got some COVID recoveries that have a lag. And additionally, we've got some cost improvement initiatives that are going to ramp up throughout the year. And as you look at some of the bridging items, those cost improvement initiatives are going to be a net positive to us as you look at -- as you go forward. From a volume standpoint, we are expected to be up low single digits and we expect volumes to be up in both foodservice and food merchandise -- the food and beverage merchandising. And the other piece to just recall is if you do a comparison year-over-year, last year's the 2023 results have the benefit of the Canton mill for a portion of the year. That mill was shut down in May. So we did get a partial year benefits of that, that contributed to last year. So nothing goes out. Those are, I think, probably some of the more material impact year-over-year comparisons.
Arun Viswanathan: Great. Thanks for that. And if you go back over the last couple of years, you've put out guidance that through the year, you've been able to fully beat and move higher. Would you say that there's an element of conservatism within your guidance range this year? And if so, what are some of the factors that maybe could go better, that would maybe push you to the upper end of that range or above, maybe if you can point out a couple of things, that would be great. Thanks.
Michael King: No, I would -- Arun, I wouldn't say there's a conservatism, I think with where we sit today with the consumer backdrop, we're largely where we've been throughout the journey you mentioned. So our ability to get after beats and slowly move our guidance up has really been a function of us being ahead of schedule on our productivity and cost out planning. And also just our quality of earnings have gone up as a result of us just maximizing the quality of the earnings we have. So it's not -- I don't think we're in a different boat -- and so to the extent we could continue to outpace that, there's always opportunity. Right now, I think you -- I would classify our outlook is realistic. And the consumer, obviously, has a boat map and our customers have to open up. And so there's always room to see improvement, but I'd say it's realistic.
Arun Viswanathan: Okay. Congrats on the progress. Thanks.
Operator: One moment for our next question. The next question comes from Ghansham Panjabi with Baird. Your line is open.
Ghansham Panjabi: Thanks, operator. Good morning guys. Kind of going back to the fourth quarter and the volume sort of divergence between the two segments, right? So foodservice up 3% and food and beverage merchandising down. Is that a function of just foodservice having kind of gone through the value or volume initiative previously and now you're lapping those comparisons and that's why you're showing the kind of growth that you are and then food and beverage merchandising is starting later. Is that a fair way to think about it? Or just trying to understand why the volumes were down in that segment?
Michael King: Yes, I think you have it right. Foodservice, certainly, we had a lot of work to do early and that business is a bit ahead in terms of our value over volume execution. And I think you've articulated it well. And so food and beverage merchandising is in the thick of their execution phase of value over volume.
Jonathan Baksht: And Ghansham, I'll also just add, as you look at -- that's not just a Q4 dynamic. I think as you look into kind of our guidance for this year, there is that element. I think we'll still see play out in that foodservice is more ahead in that value over volume journey than food and beverage merchandising. And so that dynamic should play out more throughout 2024.
Ghansham Panjabi: Got it. And just from a high-level standpoint, obviously, packaged food got hammered last year with destocking and just elasticity that the consumer was exhibiting. Foodservice across the board seemed relatively more resilient. How do you sort of think that dynamic plays out in 2024 as a lot of the packaged food customers, CPGs, etcetera, are starting to ramp up promotional spending, etcetera. Do you see that as a sort of counterweight to some of the volumes that you would normally see in your two segments just because of your slightly different exposure there?
Michael King: So I think as it relates to elasticity, I think you articulated it well our food merge and beverage merge businesses will certainly see -- we start to see the all the theories trending around promotional activity ramping up. I think destocking, to your point, has largely gone by. I think we're back to more of a normalized destocking trends that you would see seasonally. And it's less of a theme for our business. But yes, I would say you've got it right, a foodservice resiliency is foot traffic continues to moderate and be tougher for foodservice that elasticity and promotional activity should show gains. And that's kind of what's reflected if you look at our outlook is that half two for both of our segments will benefit from that.
Ghansham Panjabi: Okay. And just finally on your optimization program that you announced on the savings through 2026, etcetera. Is that -- are those savings -- what portion do you think would drop to the actual bottom line versus just sort of being levers that would offset normal inflation, labor and so on and so forth?
Michael King: Yes. So because it is a multiyear plan, where we sit today, we expect that those savings are true incremental savings. Our strategy and where we've largely leaned in with our PEPS program. We've been successful at handling throughout the year, any impact to inflation. So as we mature PEPS, I fully expect that PEPS is our value creator and weapon against inflation. And these programs would largely be the functional changes we'd expect to create the internal value and position us well for low-cost base and low capital intensity.
Jonathan Baksht: Yes. And Ghansham, just to add to, to give you some sense of the sustainability of those cost savings. These are fixed costs that we're taking out of the system. So it is an effort to really take that fixed cost base in the system down. And so there isn't really an offset. So it really is hard dollars that will come out.
Ghansham Panjabi: Very clear. Thank you so much.
Jonathan Baksht: Thanks, Ghansham.
Operator: One moment for our next question. Our next question comes from Anthony Pettinari with Citigroup. Your line is open.
Anthony Pettinari: Good morning. On the low single-digit volume guide for the full year, I'm wondering if you can give us any more detail on the expected cadence in terms of whether that's maybe back-end weighted? And then maybe the split between foodservice and food and bev.
Michael King: Yes. So I'll take a run at a high level, and then I'll let Jon kind of fill in empirically where we said. So when you think about both our segments, both foodservice and our merchandising segments, the front half of the year, we expect with the consumer backdrop kind of settling with mobility foot traffic and all those things being a bit strained here in Q1 that we're off to a bit of a softer start, although we're seeing green shoots of late. So we're kind of forecasting our outlook reflects kind of a flat first half and an inflection in second half and really around ramp-up on the food -- more or so in the food merchandising and beverage merchandising side than the foodservice side, albeit modest, low single-digit growth in foodservice as well. So that second half certainly is going to -- we're expecting to be stronger, a stronger consumer and stronger promotional activity driving that inflection for us.
Jonathan Baksht: Yes. And I think just to maybe add a bit more color around some of the inflection. So food and beverage merchandising, we're expecting that volume growth to be a touch higher than food service volume growth as we grow out the year, but it will be back-end focused, particularly in food and beverage merchandising, you'll probably see a bit of a dip on volumes in the first half of the year before ramping up at the end of the year. And part of that, there is some noise with our exit of Canton, but even netting that out, I think that dynamic will still hold true as we progress throughout the year.
Anthony Pettinari: Okay. That's very helpful. And then I'm just wondering on Pine Bluff. I mean it seems like there's been some moving pieces in boxboard recently with SBS prices coming down and maybe some FBB imports and recent acquisition and consolidation in the space. I'm just wondering if you could give us kind of like a maybe a state of the union on that asset, understanding that you're looking at potentially different options for it.
Michael King: Yes. So as we've reported in prior quarters, we're in the midst of a strategic review that we continue to be in the midst of. And you identified the material dynamic, and that's no magic there for us. That's -- we have mechanisms that allow us to manage that. In terms of other themes to share, I would just say that we continue to drive that mill and invest in that mill, and we have a cold mill outage that's going to start here kind of at the end of the Q and into the start of the second Q. And we're doing all the right things to make sure that, that asset is taking care of our converting network and our customers. So it's really all I have to share on.
Anthony Pettinari: Okay. That's helpful. I'll turn it over.
Operator: One moment for our next question. Our next question comes from Jordan Lee with Goldman Sachs. Your line is open.
Jordan Lee: Morning everyone. So I guess my first question is on the guidance. And as I think about the first quarter versus the balance of the year, I'm bridging kind of particular $170 million for the first quarter. You need to be kind of a quarterly run rate over $230 million of EBITDA really getting to the midpoint or higher to hit the full year guidance. And I guess I'm just trying to make sense of the magnitude. I mean there's some seasonality in the first quarter is always a softer quarter to begin with, but the magnitude of maybe January pressure on foodservice volumes, and the magnitude of incremental cost savings when you think about that you're counting on later in the year that would help us bridge where you think you're going to be in the first quarter to where you have to be over the balance of the year to get to the full year -- to the full year outlook.
Michael King: Yes. Just I think if you look at the pace of our ability to get after cost, we're a good year into that journey and are starting to see narrowly the in-year benefits, the run rate benefits of prior year work, but we're eclipsing that. So this will be the first year we get to kind of to lap our productivity and the fitness we've got in some of our costs out. So we're absolutely expecting year-over-year improvements in that productivity area quarter-over-quarter. And -- the other thing I would tell you is, certainly, we're expecting a stronger H2 as we just alluded to in some of the prior questions as a result of a couple of things, one being higher promotional activity, but also as a function of a backlog of business we've secured that comes online kind of in Q3 and Q4. So it's not one thing. It's a combination of all those things.
Jonathan Baksht: And I'd also add, I alluded to this in one of the prior questions. But inflation does impact our Q1 a bit more than the rest of the year. We start feeling more impacts of some labor increases and other increases at the beginning of the year and there is a timing impact of -- we do have cola recoveries, but they do have a lag. And so you start seeing that really help us look from a margin basis as the year goes on.
Jordan Lee: Okay. And Jon, just on that -- maybe on that specific point as well as kind of the volume hit from weaker from January in foodservice given the weather. What is that any way to frame what that's costing you in the first quarter as we think about that coming cat [ph] system or back going back into earnings in the balance of the year to are recovered?
Jonathan Baksht: So in terms of the winter storms, yes. I think the weather -- from a Q1 standpoint, we did have some impact there. It's probably in the range of $5 million to $10 million is what the impact on a quarter-over-quarter basis. The other thing I'd note is if you do a Q1 comparison to last year, you might recall, we mentioned that we had -- in Q1 of 2023, we had a onetime customer payment true-up in the quarter of about $7.5 million, which also impacted the quarter-over-quarter was. And then the colder recovery now, and the other one to note is just the colder recoveries might be a bit more of a lag going into the rest of the year.
Jordan Lee: Okay. That's very helpful. And then just to tee up on some other modeling items. What is the expectation on interest expense for the year? And I know you alluded to higher cash taxes for 2024, both the book and cash tax rate as you see for now.
Michael King: You kind of cut out a little bit on the front end of that question. Could you re-ask that?
Jordan Lee: Just what's the expectation on interest expense and book and cash tax rate?
Jonathan Baksht: Yes. No, I don't -- maybe I'll just take a step back and just give a bit of a free cash flow walk. I think it would probably be helpful just to understand the 200-plus guidance for the year versus last year's close to $250 million. And if you go through the line items, so EBITDA, our midpoint of our guidance is about $20 million more CapEx, we've guided to about $15 million higher. So that's a negative $15 million on a free cash flow basis. So interest, which you mentioned, we did pay down $550 million of debt. And so last year, our cash interest was approximately $249 million. This year, just using -- we do still have a portion -- about 1/4 of our debt is still floating rate. So it will be subject to the interest rate environment. But given the current forward curve, it's roughly $220 million of cash interest savings of roughly $30 million year-over-year. On a cash tax basis, 2023 was $69 million. And I'll note that we did have a benefit from tax savings due to the beverage merchandising restructuring. So we were able to benefit our cash here -- our cash taxes from the restructuring activities. This year, we're not going to have that same benefit -- and so I would -- in taxes, there's still some work there to do. But I would say that we're likely going to be approximately $100 million in cash taxes. So about a $30 million degradation there in free cash flow. A couple of other free cash flow items, inventory. Last year, we had the benefit of $179 million of inventory reduction. That's not something that's going to be repeatable this year. We're at more normalized inventory levels this year. And then the last one I'll touch on is restructuring. Last year, we had $107 million of restructuring charges. This year, that number is going to be lower, the beverage merchandising restructuring. The remainder there based on the guidance is between $5 million and $15 million this year. And then if you look at the footprint optimization restructuring we just announced, that should be around $15 million to $20 million this year. So taking -- adding those together, that's roughly $20 million to $35 million of restructuring charges. So if you walk that down, that gets you into the low 200s level for free cash flow. We're obviously going to pursue more than that, and there could be some working capital benefits that accrued throughout the end of the year. But that's the bridge to the $200 million in free cash flow. Any other questions?
Michael King: Operator, do you have any other questions?
Operator: Sure, one moment. Our next question comes from George Staphos. Your line is open.
Unidentified Analyst: Yes, hi good morning. This is actually Kashan [ph] sitting in for George this morning, he had to contemplate. So maybe just staying on the first quarter here. I know you talked about weather impacts January, but are you able to comment to all just in terms of volume trends in February and kind of what you're seeing from here into March as well?
Jonathan Baksht: Yes, sure. From a volume perspective, I think let's just start with foodservice. Foodservice for the quarter -- the general market is a bit softer. I would say that the volume -- what we're seeing from I would say, from third-party sources. So this isn't ours, I'll get to ours. But it does feel like foot traffic is a bit down. And so just really moderating foot traffic to slightly down. We should -- what we're seeing for our volumes is probably slightly flat to up slightly. We do feel like we are looking at gaining some share within the foodservice segment and outperforming -- outpacing the market in foodservice. It's -- but there are still certainly some challenges with the consumer there. And like we mentioned in the prepared remarks, we are strategically aligning with our customers to help drive some of that growth. On the food merchandising -- food and beverage merchandising side, I think it's -- the volumes are going to be a little bit further off than foodservice. So we're expecting that volumes will be down. Part of that, obviously, is the Canton effects from first quarter last year. But netting that out, we should still see some volume degradation going into the first quarter.
George Staphos: Okay. Got it. And then just on the footprint optimization plan. Can you comment at all what particular areas of the business, these facilities we're serving and just generally kind of what are the next steps on that front when you'll begin executing on it? And then I know you outlined some of the cost savings and restructuring impacts, but maybe if we think about the top line or volume perspective, what kind of initial impact do you expect there as a result of closing these facilities, at least in 2024?
Michael King: Yes. So it's the combination of facilities. So we're a hub-and-spoke operating model. So we've got roughly 100 facilities split between warehouses and distribution and our manufacturing plants. And approximately 10% of those facilities are what are outlined in our footprint plan. I would tell you that while it's footprint optimization, we're certainly not expecting a large degradation in our book of business as a result of this, there is some attrition there, but it's mostly a consolidation effort where we're moving business into other facilities, and we're really just optimizing our distribution network to rightsize to the business. So it's more lower-hanging fruit. And as Jon alluded to earlier, it's basically a removal of fixed costs, not an exit plan, if you will, in terms of book of business.
Jonathan Baksht: And in terms of financial impacts into this year, most of the impact will be felt later this year really into -- going into next year. I would tell you that there is -- some of the expenses will start incurring the expenses this year. But the way to think about it is really, we won't see any real financial benefit into Q4 of this year. And benefits are really going to be -- are contemplated in our guidance already. But I would tell you that going into 2025, kind of year-end run rate for savings, and this is more of a 2025 item than a 2024 item, we're probably looking at somewhere around the $10 million to $15 million exit rate at the end of the year in terms of annualized cost savings from that going into 2025, entering 2025.
George Staphos: Okay, thanks.
Operator: One moment for our next question. Our next question comes from Philip Ng with Jefferies. Your line is open.
Philip Ng: Hey guys. The low single-digit volume guidance for this year, how much of that is market growth versus the new business you've won that secured? And is the business wins more heavily weighted in one segment versus the other? And Jon, if you have more of a flattish type volume environment this year, do you have enough levers to kind of effectively hit your guidance from an EBITDA standpoint?
Jonathan Baksht: Yes, in terms of -- just in terms of the market versus not, it's really hard for us to break that down as we go into the full year. I would say our general expectations are aligned with what the current macro expectations are. So in terms of soft lending type of environment, kind of low single-digit GDP growth etcetera. If that's really the guidance. If the environment is better or weaker, our results will likely have some effects of that. We do track the consumer. And so we really think about the business in that sense. In terms of if the market gets weaker and as volumes come in a bit short of that low single-digit guidance expectations, would we have some additional levers to pull, we would. We are very focused on delivering sustainable results and we have scalability with the business to flex up and flex down. And frankly, that's part of this footprint optimization effort as well to help remove some of the fixed costs from the business to help us be more adaptable to the market environment.
Philip Ng: Okay. That's helpful. Margins were up pretty nicely in 2023 with your value over volume approach along with reduction in COGS and SG&A. Can you kind of help us parse out how much of that is some of the hard work you guys are doing on the cost out efforts and restructuring rather than just call it deflation? And do you still have a lot in tap in 2024. The reason why I asked is because from an absolute price cost inflation standpoint, it sounds like it's going to be a little negative at the start of the year. So when do you kind of expect that to get back to neutral, just from the inflation piece in price cost contractual dynamic. And do you expect that spread to be the mutual deposit this year as well?
Michael King: I think thematically, Jon alluded to inflation to start the year and if you just look at your prior in 2023, a lot of our colder adjustments -- cost of living adjustments happened in Q1. I think the differences in -- throughout -- it will ramp up throughout the year here for us is those cold adjustments are spread out for us this year. So where we've been successful at getting customer support on those, the cadence of that is more quarterly than it is a point in time in Q1. And so while we feel that inflation, predominantly in the labor space and the variable space when it comes to things like electricity, energy, diesel fuel, transit costs, all those things hit us in Q1 and they are muted as the year goes on and as we recover those costs. So just from a kind of a high-level view of how this year and last year are a little different, I think it's important to understand that. Jon, anything you want to add to that?
Jonathan Baksht: Yes. And I think, Phil, just to kind of give you a sense of what's driving our margin enhancement, which is the heart of your question. Back to the strategic initiatives that Mike touched on, and we're really operating here. Value over volume was a big initiative last year. We were very much focused on do we have the right book of business and aligning our business with strategic customers that really value -- the value proposition, the differentiated value proposition that we provide. And so there was probably, I'd say, 2023, there was probably more of that last year. And clearly, a big piece of that was the beverage merchandising and restructuring, which is a cost-out initiative and just broadly restructuring our business model to help lower our fixed cost through a reduction of a high-cost paper mill, high capital-intensive paper mill. So that was part of it. And then the other cost initiatives, clearly, the PEPS program, the continuous improvement that we're doing as Mike said, we're still in the early innings of those initiatives really starting to really recognize themselves in our margins. We are facing inflation challenges that right now we are keeping up with and offsetting through either colas or through cost reduction initiatives. But as you note in our guidance for this year, as those cost initiatives start taking hold, I think this year, year 2024, you'll see that the cost reduction initiatives probably start outpacing the value over volume that you saw last year, particularly going into the back half of the year. And then bringing back to the other point, we mentioned in foodservice, specifically, the value over volume is really -- we're really past that. Food and beverage merchandising, we still have some room to go there. But as we come out of the value over volume in foodservice, it's the cost reduction initiatives that are going to help the margin enhancement going into the back part of 2024.
Philip Ng: Appreciate the color guys.
Operator: One moment for our next question. Our next question comes from Curt Woodworth with UBS. Your line is open.
Curt Woodworth: Yes. Good morning, thanks for squeezing me in. So just wanted to kind of understand maybe operating leverage within the model. You're guiding to low single-digit unit growth for this year, but the EBITDA guide is up only 2%. And you talked about you're going to get incremental productivity if you look at the slide deck the last two quarters, you've had over $90 million of year-on-year improvement in your COGS basis. So is the right way to think about the operating leverage component that basically price cost and COGS are kind of offsetting. So the unit growth is kind of netting out to an equivalent EBITDA growth? Or what's the right way to think about that?
Michael King: I actually think you're real close. I mean no secret. We keep hitting the inflation for us is a real the labor side. So our productivity where we sit today in our operating leverage early -- the early days in past, we've been able to battle that back. I think the fruit -- there was lower hanging fruit, lower hanging fruit in the last quarters. And so you've seen that come through. I think as we improve as we ramp up see that we start to outpace that inflation recovery. And you'll see that, that plus the support we get from our customers and that becomes less of a variable. And to the extent you see unit growth, you're seeing that come through kind of pretty close to 1:1 in our EBITDA. And so I think you've characterized it well. It's not perfectly clean, and certainly, times are friend and times are enemy, no longer we have to implement more facilities and get after some of the footprint works. I think it's why we're excited it definitely improves our operating leverage.
Curt Woodworth: Okay. And then I guess just thinking longer term about capital spending requirements for the business, I mean given kind of this transition to a more asset-light model and a lot of the restructuring footprint actions you're taking. How should we think about what that means to either go forward maintenance CapEx or kind of future CapEx? I know you called out sort of more of a maybe a pro forma number around $250 million ex Pine Bluff and some of the capital spending for footprint, but how do you see that going forward? Thank you.
Jonathan Baksht: Yes, sure. It's a good question. From a -- we're not providing longer-term capital guidance on this call, but to give you a sense of the composition of the 2024 capital plan. And one of the reasons we did bridge to that $250 million reprieve in this year, which is give a sense of net of the Pine Bluff paper mill and the footprint optimization, $250 million is more of a normalized number. In terms of kind of the geography of that capital. So to give you a sense, this year, 2024, about half of the $250 million, so about $120 million will be sustaining capital in that plan. We've got probably $50 million of capital that's really investment to offset changes in customer mix or -- changes in the customers, products, mix, etcetera, and then the remainder, about $100 million is return yielding growth, automation, cost savings, etcetera. And to the extent that going into future years, it's the growth part that we can really flex. We're going to be disciplined in how we think about growth, but when we find opportunities to drive value for investors and shareholder value through capital, we're certainly evaluating that consistent all the time.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Mike for any closing remarks.
Michael King: Yes. Thank you, operator. As we close today, I want to thank you again on behalf of the entire Pactiv Evergreen team for joining. I also want to thank the entire Pactiv Evergreen team for delivering an outstanding result in 2023. We are executing on our strategy, and we continue to progress on our transformational journey. We look forward to updating you during the first quarter conference call, and I want to thank you again.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.